Ashley Curtis: Good morning. This is Ashley Curtis. And I would like to welcome you to the Tanger Factory Outlet Centers Fourth Quarter 2022 Conference Call. Yesterday evening, we issued our earnings release as well as our supplemental information package and investor presentation. This information is available on our Investor Relations website, investors.tangeroutlets.com. Please note that during the conference call, some of management’s comments will be forward-looking statements that are subject to numerous risks and uncertainties and actual results could differ materially from those projected. We direct you to our filings with the Securities and Exchange Commission for a detailed discussion of these risks and uncertainties. During the call, we will also discuss non-GAAP financial measures as defined by SEC Regulation G, including funds from operations or FFO; core FFO; same-center net operating income, adjusted EBITDAre; and net debt. Reconciliations of these non-GAAP measures to the most directly comparable GAAP financial measures are included in our earnings release and in our supplemental information. This call is being recorded for rebroadcast for a period of time in the future. As such, it is important to note that management’s comments include time-sensitive information that may only be accurate as of today’s date, February 22, 2023. [Operator Instructions] On the call today will be Stephen Tanger, our Executive Chair; Stephen Yalof, President and Chief Executive Officer; and Michael Bilerman, Chief Financial Officer and Chief Investment Officer. In addition, other members of our leadership team will be available for Q&A. I will now turn the call over to Steven Tanger. Please go ahead, Steve.
Stephen Tanger: Good morning and thank you for joining us for our fourth quarter and full year 2022 earnings call. The team delivered tremendous results, executing on all of our objectives and positioning Tanger for continued growth. 2023 is a milestone year for Tanger and marks our 30th year as a public company traded on the New York Stock Exchange. I am very proud of what we have accomplished and even more excited about our future. I have the utmost confidence in the management team and the strategic direction of the company. I will now turn the call over to Steve Yalof.
Stephen Yalof: Thanks, Steve and good morning. I am pleased to announce another quarter of solid results, which reflects our strategy of providing curated, engaging and value filled experiences for our shoppers offering a productive sales model as well as a clearance channel for our retailers elevating and diversifying our tenancy and delivering a platform which delivers both reliable earnings and attractive growth opportunities. We are pleased to introduce our guidance for 2023, which anticipates continued growth, taking into effect the leasing execution from last year and continued momentum even in the face of broader macroeconomic uncertainty. And we look forward to the grand opening of our newest development in Nashville, Tennessee expected in September. In 2022, we delivered a 5.5% increase in same center NOI, which was supported by robust leasing, strong occupancy gains and attractive rent spreads. For the year, we executed 447 leases, representing $2.1 million square feet, a 50% increase from the $1.4 million square feet executed last year. For the trailing 12 months, we realized a 10.1% blended rent spread on these leases. This includes a 28% retenanting and an 8.6% renewal spread, representing seven consecutive quarters of improvement for Tanger. This strong performance is a result of our ability to exercise pricing power and convert variable rent to fixed rent and is a clear demonstration of the importance that retailers place on the outlet retail distribution channel and our open air shopping centers. Our occupancy increased by 170 basis points year-over-year, ending the year at 97%. But even at this high level, we have a meaningful growth opportunity as we continue to realize attractive rent spreads on both renewal and retenanted space and convert temporary space to long-term occupancy. Our temporary occupancy serves as an important and effective role in our overall strategy in both maintaining revenue generating occupied space, while introducing new tenants to the Tanger platform. With approximately 10% of our GLA currently occupied by short-term pop up or other temporary tendency, we have the ability to drive additional rent growth over time as a portion of these convert to longer term leases. Beyond the numbers, the quality of our leasing activity is something I would like to highlight. We have prioritized elevating and diversifying our brands. And since embarking on this objective 2 years ago, we have made tremendous progress at a new food and beverage, entertainment, home furnishing, and digitally native brands to our portfolio. With the goal of curating the best open-air environments with elevated brands, improved amenities and best-in-class food and beverage, we are creating a more engaging experience for our shoppers who ultimately stay longer and spend more dollars at our centers. We are pleased with the quality of our tenants and the importance of the outlet channel to their operations. While we maintain a watch list, it is minimal. We proactively manage this list and work with tenants to mitigate our risk. Traffic for 2022 approached last year’s levels as we anniversaried strong comps for 2021. Traffic was down 50 basis points for the full year and 200 basis points for the fourth quarter, which reflects the historic winter storm that impacted much of the country in December. However, we are encouraged by current trends as we have seen an uptick in traffic post-Christmas and into the New Year. Total gross sales reported by tenants in our centers remained steady to last year’s levels as we faced a more promotional environment compared to last year, where we saw the benefits of a tight inventory for retailers and stimulus spending by shoppers. Our sales per square foot, was roughly flat on a sequential basis at $445 per square foot, however, down slightly compared to the prior 12-month period impacted by the change in the mix of retailers included in the comparable pool as well as retailer expansions that occurred during the year. We are encouraged by our outlook as we start to see the benefit of our new leasing activity in the coming quarters. Our ability to help drive sales productivity is in part attributable to our enhanced performance marketing, which we continue to refine and achieve measurable results with increasingly relevant and compelling content. We continue to derive incremental value from our centers through our marketing partnerships, media platform and sustainability efforts. Other revenues for 2022 grew 14% as local, regional and national brands sought to gain visibility with Tanger shoppers. We continue to build our media infrastructure and have proven its value to clients evidenced by repeat campaigns from several national brands. We believe this is a unique revenue stream to Tanger given the scale and quality of our audience with additional runway in the years ahead. Through our sustainability initiatives, we seek to have a positive impact on the planet while driving positive returns on our investments. In August, we announced our goal to be carbon neutral by 2050 and have already achieved several milestones. These include our investment in renewable energy, recently doubling our solar infrastructure and adding electric vehicle charging stations across our centers. We have also attained LEED Gold Certification at an additional 4 centers. Now over 50% of our GLA is LEED certified. We continue to progress on our Nashville development, which is now over 80% lease committed. Construction is well underway and on track for grand opening in September of this year. Our anticipated stabilized yield of 7% to 7.5% remains unchanged. This center will add 290,000 square feet of GLA tenanted with elevated national brands, best-in-class food and beverage and entertainment concepts. Tanger Outlets’ Nashville will feature an updated design and layout, which enables a sense of place for our shoppers, retailers and community activations. We are encouraged by the success that we have achieved in Palm Beach, where we have rebranded the existing outlet center, Tanger Outlets Palm Beach. To-date we have realized strong tenant demand and executed robust leasing volume. We are looking forward to welcoming investors to this center during the upcoming Citi CEO Conference in March. Looking ahead, we are well positioned for growth. Our occupancy cost ratio has increased by 50 basis points over the past year and at just 8.6% for 2022. We believe we still have significant runway to realize additional rent increases, while providing tremendous value for our retailers and tenants. We have a model that generates strong free cash flow and a solid balance sheet, which provides us with the liquidity and flexibility to invest in our growth. We continue to return capital to shareholders through our well covered and growing dividend. We are driving organic growth unlocking additional value at our centers through redevelopments and activating other revenue opportunities while selectively pursuing external growth. Over the past 2 years, we have assembled an immensely talented and experienced senior management team. This team’s capabilities are evident in our 2022 results and I am excited about the value we will continue to create in the quarters and years ahead. I am pleased to now be turning this call over to our newest senior team member, Michael Bilerman, Tanger’s CFO and Chief Investment Officer. I want to thank our entire team, our shoppers, retailers and all of our stakeholders for their continued support. I’d now like to turn the call over to Michael.
Michael Bilerman: Thank you, Steve. I am extremely excited to be part of this team and help drive value for all of our stakeholders. Today, I am going to quickly walk through our financial results, our balance sheet position, and the guidance that we are introducing for 2023. Tanger delivered solid results for the fourth quarter and full year 2022 meeting the high-end of our upwardly revised annual guidance range. Core FFO per share increased 4.4% to $0.47 for the fourth quarter and it was up 4% for the year to $1.83. Same center NOI for the total portfolio increased 5.1% for the quarter and was up 5.5% for the year driven by the growth in occupancy, positive rent spreads and similar to other retail peers, some benefit from reserve reversals. The reserve reversals were included in our original guidance and largely were recorded earlier in 2022. And just as a reminder, our same-center NOI is presented on a cash basis and also excludes lease termination fees. As part of our active asset management strategy in the fourth quarter, we did sell a non-core outlet center located in Blowing Rock, North Carolina for $13 million or approximately a 9% to 10% cap rate. Of note, this was our least productive center in our portfolio. We entered 2023 with a balance sheet with the liquidity and the flexibility to pursue our growth objectives. As of year end, our cash and cash equivalents and our short-term investments totaled $273 million with full availability on our $520 million unsecured lines of credit. In addition, our net debt to adjusted EBITDAre improved to 5.1x in 2022, down from 5.5x in 2021, one of the lowest in the retail sector, which provides additional capacity to drive our growth while staying below our target leverage level. The weighted average rate on our debt at year end was 3.4%, with 93% of our debt at fixed rates and a weighted average term to maturity of 5.6 years. Now, in terms of thinking about our anticipated cash moves during the year, our biggest cash expense will be funding the rest of our development in Nashville, which is set to deliver in mid-September. As of year end 2022, we had deployed nearly $36 million into the project with an additional $110 million remaining to fund at the midpoint. For recurring CapEx across our portfolio, we have earmarked $50 million to $60 million this year, including our second generation tenant allowance and capital improvements. This aggregate level is anticipated to be higher in 2023 than in 2022 as we return to a more traditional pre-COVID level and embark on certain strategic center renovations. Our dividend is well covered with a low payout ratio, providing the company with additional free cash flow after dividends. As previously announced, our Board of Directors approved two dividend increases during 2022, resulting in a combined 20% increase in the annual dividend to its current annualized level of $0.88 per share. This annualized dividend equates to a current yield of nearly 5% based on the recent stock price of approximately $18. And now turning to our guidance, we are introducing FFO guidance for 2023 and expect core FFO to be in the range of $1.80 to $1.88 per share. Underpinning this guidance is same-center NOI growth of 2% to 4%. As I mentioned before, this range assumes no reserve reversals compared to a net $4.5 million last year, which represents approximately 150 basis points of same center growth. In addition, we are assuming a more normalized level of bad debt reserves in our numbers. We expect G&A to be in the range of $73 million to $76 million as we have invested in a strong team and infrastructure. And new this year, we are also introducing guidance for interest expense and interest and other income. We are in the unique position of temporarily benefiting from rising interest rates with a cash balance that is currently larger than our variable rate debt exposure. For additional details on our key assumptions, please see our release issued last night. And now, I would like to open up the call for questions. Operator, can we please take our first question?
Operator: [Operator Instructions] Our first question is coming from Todd Thomas from KeyBanc Capital Markets. Your line is now live.
Todd Thomas: Hi, thanks. Good morning. Stephen, Michael, I wanted to ask a little bit about investments and external growth for Tanger as operating trends have stabilized, the balance sheet is in good shape with low leverage of cash, full availability on the line and Nashville is underway, but that’s really it as we see today. And as you step back and think about external growth for the company, how should we think about investing initiatives over the next 1, 3 or 5 years as we look forward?
Stephen Yalof: Good morning, Todd and thanks for the question. So the way we are looking at external growth, take a look at not only the Nashville development that we will be delivering in September, but also take a look at the Palm Beach property that we just added to our portfolio as an incentivized management deal. And there is a number of similar structure deals that we are looking at externally, we are an operating company, we are setup for best-in-class leasing, marketing and property operations and we plan on flexing those muscles over the next coming years and quarters. We are extremely confident the team that we have built over here and are in conversations with a number of different property types currently, primarily in the outlet or adjacent to outlet space that gives us the opportunity to leverage a lot of the business that we have done with big box, food and beverage and entertainment uses and expand those uses to other properties across the country. Just as we were very quiet on Palm Beach and Nashville until we were ready to discuss it, we are going to remain so, but looking forward to give you an update on that progress in the coming quarters.
Todd Thomas: Okay. And with regard to Nashville, now that it’s set to open in September, what’s the timing look like to get to that 7% to 7.5% stabilized yield? Can you talk about what the initial yield might look like in September when it opens and what the ramp will look like in terms of the timeline? And also can you help us understand how you will see capitalizing interest on the project? Will it be the entire project at that time or do you bring phases online over the course of months and quarters?
Doug McDonald: Sure, Todd. This is Doug. I will start with your last question. It’s all coming online at the same time and capitalized interest will stop upon the opening the center this fall. With regards to the stabilized yield, we see that happening probably 2 to 3 years in, it’s going to – the first year is going to be below that range. And as we strategically hold back certain spaces within the center and fill them with shorter term tenants, but we are expecting that stabilized yield is there in year two to year three.
Todd Thomas: Any sort of sense on what the initial yield might look like early on, just so we get a sense for further model, how that might trend late in ‘23 into ‘24?
Doug McDonald: Sure. It won’t be very far below the yield that we have guided to, but I would say somewhere in this excess.
Todd Thomas: Okay, that’s helpful. And if I could just sneak one last one in on the balance sheet, Michael, the $300 million of swaps where SOFR is fixed at about 50 basis points. They are not set to expire until February of next year. But any thought there or any potential strategies that we should be considering during 2023 as it pertains to that – those swaps?
Michael Bilerman: Thanks for that, Todd. As we think about where our balance sheet sits today, we are obviously extraordinarily pleased with where it stands with the amount of cash we have on our balance sheet, to below average leverage and no significant maturity until 2026 outside of a JV loan that comes due this year. And so the swaps is really the only thing that’s currently on the docket as you talked about, it’s not until next January until when those burn off. And obviously, they can burn off and just go to floating at that point, but there is a lot of other strategies that we are going to look at overall on our balance sheet as we progress through the year and into 2024.
Todd Thomas: Okay, alright. Thank you.
Operator: Next question today is coming from Craig Mailman from Citi. Your line is now live.
Craig Mailman: Hey, good morning. Just wanted to circle back to the same-store guidance, Michael, you kind of pointed out the 150 basis point drag from the reserve reversals, but can you kind of give us what the assumption is a bad debt this year and maybe how that compares to ‘22 if you were to normalize for kind of prior period collections and just trying to get an apples-to-apples, the 3% versus the 5.5% you guys had in 2019?
Michael Bilerman: Sure and thanks for the question, Craig. I think if you step back from it, we have introduced guidance of 2% to 4%, the same-store NOI growth, which as we talked about was on the cash basis and excludes lease termination fees. We have $4.5 million of reserve reversals last year that this year in 2023, we don’t have that. So that if we just take that in isolation is 150 basis points of same-store growth. Separate from that is what we would be assuming for bad debt. Now we go back to 2022, there was a positive benefit from bad debt. I think you would probably agree given the macroeconomic environment, we probably should not be assuming that we have positive recoveries in this environment. So, our guidance when we – if we adjust for the reserves in that $3.5 million to $5.5 million, there is a lot of different assumptions that go into that, one of which is obviously the bad debt and we are trying to be prudent in how we are looking at that against all the other variables that’s embedded in coming up with the same-store in terms of our occupancy, where our spreads are, the percentage of rents, our recoveries, the timing of our leasing, the roll, the burden that we have from 2022. Steve talked about temp-to-perm conversions. There is a lot of things that go into it, of which bad debt is one and we are assuming a relatively prudent level. We are very cognizant that we do not have large exposure to some of the distressed retailers that have announced store closings and potential bankruptcies. And Steve talked about our watch list being very low at this point. Did that sort of help put some color for it?
Craig Mailman: It does. But I guess what I am trying to get at is right. Maybe these are two of the bigger components in isolation. And I get your point that there’s a bunch of moving parts. But as we think about the fact that occupancy is up year-over-year, so you get the benefit of better reimbursements and the incremental revenue there going from temp-to-perm is obviously a positive tailwind. I am just trying to see how these two, right and everything else aside, that’s where the growth is. But these are sort of assumptions that are placeholders to some extent rather than kind of bottom up analysis is always trying to get at if you were at 5.5%%, you adjust to the 150, you are down 4.5% to the 3%, right. What’s the net year-over-year change for bad debt? Is that 4.5% now, 5.2.5%, is it 5%, like what detail is baked in year-over-year, because of just the bad debt. And then maybe some of these other things, again, you are being conservative, you may get more temp-to-perm done, other areas that could move it higher, because I assume you are going to be somewhat conservative with initial guidance, but just from a baseline kind of where are we on a year-over-year detail?
Michael Bilerman: You are saying conservative, we would say prudent. This is 3.5% to up 5.5% same-store range has different variabilities at the low end and the high end. We feel 4.5% core growth again. The reserve reversals was just money we got back from prior reserves going back to COVID days. So that’s why we are really looking at this 3.5% to 5.5%. And we feel very good about the momentum we have in driving that above average growth relative to the retail sector. The bad debt, Craig, just given the size of our tenancy and where are we on our watch list, it’s just a more normalized level embedded in our guidance, it’s not something that is massive that’s going to change our numbers one way or the other. It’s one element in the overall pie where I would say all the things that we are doing you look at our occupancy growth, you look at where our rent spreads are, that is really what’s driving our top line overall.
Craig Mailman: So I should just assume it’s not a significant drag relative to the 4.5%.
Michael Bilerman: Yes.
Craig Mailman: Okay. And then separately, Michael maybe sticking with you, just kind of curious to be in the seat for about 3 months, just your initial impressions going into the job, some of what you are seeing some of the challenges you think you haven’t had just any contrary would be helpful?
Michael Bilerman: Thanks for that. It’s day 83. I am extraordinarily excited being here. And what I find really unique is, relative to my prior life, where I focused on 90 different companies being able to take all of my time on one, I certainly had an appreciation for where this company had been and where it was going. But I have gotten a much deeper appreciation for our business, our people, our platform and the significant growth opportunities that are in front of us. I think the biggest surprise for me has been able to get out and see a lot of our assets. So over the past 3 months, I have actually been able to go out and visit with our teams across the country. And that to me, the quality, the location, the retailer interest in the assets, really has been the differentiator. And I am so excited to be able to get out in the road with you and other analysts as well as the investors and really show what we have, because all of the results are driven out of those local assets and the perception I think is different than the reality.
Craig Mailman: Great. Thank you.
Operator: Thank you. Next question today is coming from Floris van Dijkum from Compass Point. Your line is now live.
Floris van Dijkum: Thanks, guys. So I have – let me start with my first question if we can touch on the temp occupancy of 10%. You talk about this as being one of your growth drivers, Maybe if you can – I was always under the impression that temp occupancy should probably be closer to 5% or in that range. What do you have baked into your numbers for ‘23, in terms of, the temp-to-permanent conversion? And could you also remind us again, on what kind of impact you would get from those tenants that convert from temp-to-occupancy in terms of NOI impact?
Stephen Yalof: Sure, Floris, and thanks for the question. So, we’ve said for at least the last six to eight quarters as we built this field driven company that’s far less centralized and gone to a decentralized structure, giving each of our general managers the opportunity to really run the business that is their shopping center operations, we’ve essentially quadrupled the size of our leasing team, by baking everybody in the field leasing people. And for us, especially coming out of COVID, a couple of years ago, losing a million square feet of retailers, we looked to the local marketplace, in order to fill a lot of that space, we learned a number of things. First of all, we learned that our customer that was shopping in our outlet focused shopping environments, were looking for far more experience amenity food and beverage, and entertainment when they came in visited our shopping centers, a lot of which has been sourced both nationally, but also locally, a lot of that local sourcing has been developed by a lot of people out in the field that are doing that work. We actually have a team in place now that focuses solely on taking short-term tenants or tenants that we brought in on temporary basis to build space and keep lights on and keep the space cash flowing. It’s solely focused on converting the best of breed into long-term deals. And that has been very productive for us, not only in the locations where they’ve originated their business, but also taking them across our portfolio where relevant, we’ve seen that with a lot of food and beverage, but also with specialty retail as well. And it’s been a great source temp to permanent occupancy for growth for us. That same time period, we talked about temp leasing being closer to – we said above 10% at one point we said closer to 12%. So as that temp leasing number continues to go down, it’s being replaced with permanent and some of the 170 basis points of occupancy growth that we’ve seen year-over-year, there’s a lot of permanent leasing embedded in that occupancy growth as well. We’ve also said on past calls that in many instances, some of the temp deals, which are localized deals, deals that like I said, keep lights on, but also give us the flexibility of 30 day termination should be adjacent tenant choose to expand into that space, or a new tenant want to come and fill that space. And we’re seeing great growth in upside, when we replace a temp tenant with a permanent tenant. We’ve said in some instances 2x, 3x and 4x the rent that the temp tenant is paying. So we see upside of that as well. I know, one need only look at the rent spread growth that we’ve experienced. Look at the occupancy growth that we experienced. And more importantly, look at the growth in NOI. And a lot of that is coming from some of the powerful leasing that we’ve done, and a lot of that conversion of temporary stuff into permanent stuff.
Floris van Dijkum: Thanks. Just to clarify, is this your temp-to-perm conversion are they included in your lease spreads or I thought they were separate?
Stephen Yalof: Yes, they are separate. My reference to the lease spreads just shows the pricing power we have in our real estate.
Floris van Dijkum: Got it. Got it. Thank you. So my second question, I’ll try to stick to two is that – in terms of your sales numbers, obviously they were tenant sales were down, marginally flat sequentially, but down year-over-year in obviously in inflationary environment, how should people think about that and maybe also touch on because I would have thought that including more food and beverage in your leasing and then your tendency should potentially increase your average sales numbers but clearly, I’m not sure what the impact of that if and then also talk maybe about what the average dwell time is that the shopper has at your center, and how that’s tracked over the last year. And maybe because, you would assume that adding more food and beverage and other non-apparel elements to your centers should actually increase the amount of time people spend at your properties?
Stephen Yalof: Okay, lots of impact there, Floris. Let’s – I don’t even know where to start. Let’s just talk about the food and beverage and the growth and dwell time, because I think that’s important. And just remember in that in the sales per square foot number, some of that new leasing that we’ve done is non-cost. So it’s not going to appear in that dollars per square foot number yet. I think the most important concept, particularly what we saw in 2022, we should focus on this is that, we are in the outlet space. And a lot of the retailers, a larger retailers in our platform, have said publicly that they’re using the outlet space as a clearance channel, and keeping a lot of their full price distribution, and wholesale distribution channels a little bit cleaner, meaning that they’re clearing a lot of that excess inventory through our channel. And so as we see a lot of that activity, what will ultimately happen is that an item which last year in 2021, where we saw a very non-promotional environment, particularly in the fourth quarter, where you might have sold two items for $100, we’re finding across our platform that you can now get that same, you can now get three items for that same $100 or buy two and get the third free is a common promotion spend to get it gives the retailer an opportunity to clear through a lot of excess inventory, but we’re not going to see a tremendous amount of sales growth, although they’re able to execute to what their objective is. And that’s get rid of excess inventory. And I would just point to the fact that a lot of those larger retailers are have number of stores within our portfolio. And we’ve done tremendous amount of renewal activity over the past year, and also into this year. And our renewal spreads point to the fact that those retailers that might not have seen huge gains from a dollars per square foot point of view. But they’re also willing to pay more rent to be in our shopping centers. And they’re not giving up space in our shopping centers either. Meaning that they see the value that outlet and the outlet channel provides, and therefore willing to pay slightly more for that. So I think there’s going to some work growth coming from that organically as we go forward. I know you have a number of other questions in there, Floris, can you just remind me if I’ve missed any?
Floris van Dijkum: Yes. No, I mean that, I think you’ve hit upon the key one, maybe if I can just get you to give some comments. One of the things which I find very intriguing about the outlet space is the expansion in the U.S. of luxury tenants, which have significantly higher sales, significantly higher sales also in the outlets. And as they expand more full priced stores in the country, which is what they are doing in the A malls, they are also – they have to – they can’t burn stuff anymore for excess inventory. So they are opening what we hear from others more stores in outlets? And have you seen any of that I know that you don’t might not have all of the outlets suitable for that, but presumably you have a couple of them. Can you talk a little bit about that trend and what that could mean also for average tenant sales and average and you traffic in your centers?
Stephen Yalof: Yes. I think it will have a positive effect on all. Obviously we’re in that game too. We’re in touch with all of those retailers. We understand they’re open to buy, we know where they want to open stores. And as is common practice with us over here until a lease is executed. And in many cases until the sign is put up on the door in front of the store. We have a tendency to keep a lot of the names of tenants with whom we’re doing business quiet, but that is a recent trend, one that we are very actively participating in.
Floris van Dijkum: Thanks that’s it for me.
Stephen Yalof: Thanks, Floris.
Operator: Thank you. Next question is coming from Craig Schmidt from Bank of America. Your line is now live.
Unidentified Analyst: Hi, good morning. This is [indiscernible] on for Craig. I wanted to ask a couple of more questions about progress on Nashville. Was I guess the plant opening in September seems about 16 to 17 months until after this broke ground back in May. Is this in line with your expectations and the typical timeframe you anticipated? Were there any delays there just in – on the expected timeline there? Thanks.
Stephen Yalof: Thanks for the question. There were no delays. In fact, we did a great job of buying steel. We did a great job of buying a lot of the long lead items that are right now still caught up in manufacturing for other developments. And we’ve very fortunately, have a lot of those products on site. One of the – having built a number of shopping centers in my history, a typical start to opening is about a year, 12 months to 14 months, this has taken a bit longer, because as you’re probably aware, Nashville is built on solid rock. And rock remediation takes quite a bit of time. That was a big part of the lead time to getting the site prepared before we actually ready to pour the foundations and start erecting steel until wall, which if you’ve visited the site, you would see is taking place right now as we speak.
Unidentified Analyst: Okay, thanks. And with about $110 million remaining to fund how should we expect the cadence of that’s sped. And then separately, I guess, you’ve mentioned the updated design and layout. If you could provide more details on maybe how this – you might changing your thinking around the design of your developments now, what kind of mix Nashville more unique and different?
Stephen Yalof: So first of all, a lot of our most recent outlet developments and I would say most recent developments in the outlet space have been a racetrack design with the parking on the outside, and the shopping on the inside. And now that’s been for years that’s been the trend, and it’s been a great model. But what we found particularly coming out of COVID, as we pivoted a number of our uses from strictly from less pure play outlet to adding things like food and beverage, and experiential retail and entertainment retail, we also find that the customer, the shoppers and the outlet centers, they’re looking to stay longer. And they’re looking for more amenities. And as they – as we provide them with a more better amenities space. What we’ve created in Nashville is the shopping on the outside, the parking on the inside, all surrounded by a central park essentially, that park will be an activated community space. One where our retailers will use if it’s an athletic fitness brand to hold yoga or fitness, our restaurants will activate so that they can have entertainment and experiential activations on that side as well. So we think that’s kind of unique, creating that big gathering space in the middle of the shopping center. With regard to the timing on the spend. I’m going to hand that over to Michael, he will take you through those numbers.
Michael Bilerman: Thanks, Steve. So Lizzie, we spent $36 million to date, and we have $110 million left to spend. You should think about that ratably over the course of the year, as we move into September and that sort of how you think about our cash balance during the year. We will draw that down as we go.
Unidentified Analyst: Okay, got it. That’s helpful. Thanks. And I – If I could I just wanted to ask about the non-core outlet center that was sold for $13 million. What sort of indications were you seeing from the buyers’ poll this past quarter? And what are – what’s the thinking around dispositions and 2023.
Stephen Yalof: Just real quickly, the buyer pool for that particular shopping center was a local buyer. It was a non-core asset. It was the smallest asset in our portfolio. So it really wasn’t a center that we had talked about marketing that center, but it was one where local buyers came forward in order to acquire it, with regard to the other shopping centers in our portfolio. Obviously for the right price we’re willing to discuss, but as you’ve seen our occupancy grow materially across our portfolio, all of our shopping centers continue to trend positively cash flow positively. So we have no current plans to sell any of those shopping centers.
Unidentified Analyst: Great. Thanks. That’s all for me.
Operator: Thank you. Next question is coming from Vince Tibone from Green Street. Your line is now live.
Vince Tibone: Hi, good morning. Could you share some color on the steps you’ve taken to keep same-store expense growth under 1% in 22, despite inflation and just kind of any color as well on expense reimbursements, which are also on the lower growth side, just whether these expense reimbursements are fixed versus variable just some commentary around there would be helpful?
Stephen Yalof: Our Chief Operating Officer is on the phone, Leslie Swanson, I’m going to kind of hand this off to her and ask her to give you a quick answer on that.
Leslie Swanson: One of the things that we’ve been able to do over the last several years is convert our contracts to fixed contracts. So we’ve been very successful with that. We’ve also been able to identify revenue streams within our operating expenses that we’ve been able to maximize and build over the last 2.5 years with this new senior management team.
Vince Tibone: So maybe just like on the camp, so if there are fixed reimbursements, I thought those are generally in the 3% to 4% range, but I thought for the full year ‘22, that revenue was under 1% growth. So just is there maybe lower taxes is the direct flow through or help me understand maybe why the fixed versus variable component? These are all my questions?
Doug McDonald: Sure, Vince, this is Doug, another component that impacts those numbers that you’re looking at there was an agreement that we did last year involving our trash pickup, that took some costs out of the property operating expense, but also took a commensurate amount out of the recoveries, it’s still an opportunity where we have there’s some growth in that business line for us, but this was a strategic transaction to help provide a little bit of incremental income. It just, it’s a geography thing that impacted both the expense and recovery side.
Vince Tibone: Got it. Thank you. And then one more for me, just on the CapEx side, it looks like the guidance for CapEx is a little higher in ‘23, than it was in ‘22 and kind of a typical pre-COVID years. Those are very unique about ‘23 is just getting a lot of stores open or maybe how should we think about CapEx over the next 3 to 5 years? Is this a level we should underwrite annually or is kind of the more historical level appropriate in ‘23 is a little unique?
Doug McDonald: So Vince, as we think about that total CapEx number, right, there is two components to it. It’s our second generation tenant allowances and the second part being some strategic center renovations that we have targeted for this year. I think if you go back to last year, you heard us talk about having pushed some of those, we feel confident in going forward with some of those projects this year, and returning to a more normalized level of renovation CapEx in our portfolio.
Vince Tibone: Got it. That’s helpful. Thank you.
Doug McDonald: Thanks, Vince.
Operator: Thank you. Next question is coming from Michael Mueller from JPMorgan. Your line is now live.
Michael Mueller: Yes. Hi. I guess first, where does the overall mix of leases to the tenants like home food and beverage where it’s with greater area of focus? Where does that stand today compared to a few years ago?
Stephen Yalof: As far as percentage looks, our reliance on apparel and footwear continues to drop as we go after different uses. Obviously, home has been a great driver for us in a number of our shopping centers, where we built these – essentially built these home clusters like Riverhead and San Marcos. And we will continue to do so, entertainment uses we’re continuing to build our entertainment resource in places like Foxwoods, Savannah and Atlantic City where those markets definitely gain the benefit of putting those uses there. So we are going to be strategic where we place those uses. We are going to make sure that there is void in the marketplace but there is also demand, so we will execute accordingly. But again, the overarching strategy is to limit our reliance on certain categories that are quite high in our portfolio.
Michael Mueller: Got it? And Michael, you guided this $5 to $7 million of interest in other income, I guess what was that number in ‘22? And assuming it’s part of other revenues, why just call out that part of other revenues?
Michael Bilerman: So thanks, Mike. And actually, if you look at our P&L, it’s the line other income, and then in brackets expense that embeds the interest income. If you look at 2022, in that $6 million of what we’ve determined interest in other income/expense was the $2.4 million gain on the sale of our aircraft. So you would back that out from that number, and you get down to $3.6 million in totality, we’re giving you guidance of $5 million to $7 million, the vast majority of that income is interest income. We talked about our current cash and cash equivalents, short-term investments to-date is $273 million. That cash balance is going to come down over the course of the year as we spend money in Nashville. And as we embark on our tenant allowances and our strategic center renovations, and so then we look at, okay, what interest income should we use, and we don’t feel like we’re smarter than the market. So we look at the forward curve, and take some assumptions around the timing of our cash, the yield that we’re getting, and all that goes into a range of $5 million to $7 million for interest in other income, which again, will be tied to that line item in our P&L. And I should just set back, we feel that the numbers we’ve given you, in terms of our same-store growth or interest in other income, the G&A the interest expense, if you total all those up, you should be able to attain our range.
Michael Mueller: Got it. Okay, thank you.
Operator: Thank you. Next question today is coming from Greg McGinnis from Scotiabank. Your line is now live.
Greg McGinnis: Hey, good morning. Just touching on occupancy and perhaps some tenants again, depending on how you interpret the question, but what are your expectations for the cadence in trend of occupancy in 2023?
Stephen Yalof: We’re not guiding to occupancy, but I will tell you where our expectation based on the lease momentum, some of the executed but not yet open stores and a lot of deals in the pipeline. We’re very optimistic about our occupancy growth going into next year.
Greg McGinnis: Sorry. Go ahead.
Michael Bilerman: Greg, I was going to add, the totality we don’t want to isolate just one item, because what we’re trying to do here is grower NOI, drive our rents, obviously move our permanent occupancy and gain the benefit and diversify our tenant base and leverage our balance sheet.
Doug McDonald: And Greg, one more thing to highlight, as you know, historically, the first quarter often has a little bit of a dip as there’s some holiday tenants that leave and a lot of leases that carry January 31 expirations. I don’t think we expect anything out of the norm this year, but don’t be alarmed if there’s a small pullback in the first quarter.
Greg McGinnis: Okay, yes, I was asking more to understand if there’s going be a larger pullback because a level of temp tenants, you guys done a nice job of getting back to pre-pandemic occupancy. So appreciate the clarity there. And then just with the expected increase in CapEx, how are you thinking about free cash flow expectations this year?
Doug McDonald: So, we don’t give FAD guidance, but we give you enough of the components to try to estimate that. And so we feel good about where our underlying cash flows are, and the investments that we’re making. We feel very strong coming into 2023. You can see where our FAD payout ratio was in the fourth quarter and just about 60%, which I would add is below. We’re in a unique position where we’re offering investors a higher yield with a lower payout ratio, which is typically the inverse. So we feel good about where we stand today.
Greg McGinnis: Okay, appreciate that. Thank you.
Operator: Thank you, we reached the end of our question-and-answer session. I’d like to turn the floor back over to Mr. Tanger for any further or closing comments.
Stephen Tanger: Thank you for joining us today. We are looking forward to seeing many of you at several upcoming investor conferences, including hosting an investor meetings tomorrow at the 26th Annual Wells Fargo Real Estate Securities Conference in New York and then hosting a presentation, investor meetings and a tour of our Palm Beach Tanger Outlets at the Citi Global Property CEO Conference in early March in Florida. If you’d like to join us at any of these events, or visit any of our other centers, please give Michael Bilerman a call. Goodbye and have a great day.
Operator: Thank you. That does conclude today’s teleconference and webcast. You may just disconnect your line at this time and have a wonderful day. We thank you for your participation today.